Operator: Good morning. My name is Clara and I will be your conference operator today. At this time, I would like to welcome everyone to the first quarter fiscal year 2009 operating results conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator instructions) And now I would like to turn the call over to Mr. Tim Hall, Vice President of Finance and Chief Financial Officer for Flexsteel Industries. Sir, you may begin your call.
Tim Hall: Thank you, Clara, and good morning everyone and welcome to our fiscal year 2009 first quarter operating results conference call. We appreciate you participating this morning. Joining me this morning is Ron Klosterman, our Chief Executive Officer and President of Flexsteel. We are calling this morning from our showroom in High Point, North Carolina. During the call today, we may make forward-looking statements that are subject to risk and uncertainty. A discussion of those factors that could cause actual results to differ materially from management's expectation is contained in the company’s SEC filings including our most recent 10-K filed on September 15, 2008 and the press release dated October 20, 2008 announcing our first quarter 2009 operating results. Any forward-looking statements or opinion as of now and we undertake no obligations, to update or revise any of the forward-looking information and statements to reflect events or circumstances after today’s call. I would like to make just a few comments before I turn the call over to Ron. From the press release from yesterday, our sales for the quarter were approximately $91.4 million, a decrease of about 9.4%. We reported a net loss of approximately $700,000 or $0.11 per share compared to a $0.18 per share earnings in the prior year quarter. During the quarter, we recorded pre-tax charges of approximately $1.4 million related to facility consolidations that we announced during September. Excluding those charges, our net income for the current quarter was approximately $100,000 or $0.02 per share. Our sales were both – breaking down our sales, our residential net sales were approximately $62 million, substantially flat with the prior year quarter. Our commercial seating sales were up slightly to $23.5 million, about 4% increase I guess. The recreational vehicle seating part of our business is where we have struggled most dramatically as that industry suffers as well. Our sales of $5.9 million had an increase of 62%. Our gross margin for the quarter was impacted negatively by the under absorption of fixed costs as our sales fell, especially in the vehicle seating area, and we had some higher material costs as well. Our selling, general and administrative expenses were 18.3% versus 17.4% in the prior year quarter, again the absorption of our fixed selling costs on the lower volume and a slight increase in bad debt expense. During the quarter, we’ve had cash provided by operations of approximately $2.2 million. Little information about what we’ve been trying to do with our working capital and our investment in primarily inventories and receivables. Compared to our June balances, our receivables are down about $2.7 million and our inventories are down about $1.8 million, $1.9 million. Looking at our – those numbers versus a year ago, our receivables are down about $6.5 million and our inventory is down about $3.1 million. We used those decrease to reduce our debts and from our September quarter balance sheet a year ago, our debt is down $8.1 million. And from our June quarter, June 30, 2008, we’re down about $3.5 million. We continue to be stingy with our capital improvements, investing about $150,000 during the quarter or estimating that the fiscal year total will be about $2.5 million, as we have some delivery equipment during the second quarter of this fiscal year will be the predominant add there. Our depreciation projection for the year is about flat, slightly down to about $4.2 million for fiscal year 2009. At this time, I’ll turn the call over to Ron Klosterman for his comments. Ron?
Ron Klosterman: Thank you, Tim, and good morning everyone. While this certainly has been a very challenging quarter, great volatility in the marketplace between the – all the issues going on in the financial end of things, the impact of the slower housing, etc., all of these seems to play a significant role in our businesses. Almost every product we make is an easily deferrable purchase. Although we’re never pleased with having top line revenue being flat, quite honestly, we’re not greatly disappointed in either our residential or our commercial business at this point in time, especially as we look at some of our competition in those areas. We feel reasonably good about having relatively flat top lines at this time compared to a year ago. And then, in fact, in the home furnishings industry, probably performing better than much of our competition. The recreational vehicle business has been a real challenge for us. It has been throughout calendar year 2008, as we saw declines already beginning in the early part of the year as the retail volume of recreational vehicles started the year, the first couple of months being down in the 10% to teens areas, growing to the 20% and 30% range as we went through the late winter/early spring months and really being substantially impacted during these last three months or at least the last three months reported with I think the industry saying that retail sales for the month of August were off over 60%. With this, the original equipment manufacturers that we supply significantly cut back on their production, many of them taking extended shutdowns in the middle of the summer, around the 4th of July, some of them again in August and even into early September and also further plant consolidations by some of our key customers, all of which gave us as much lower quarter backlog to fill during the quarter, and as a result our corporate $9 million decline in top line revenue is very close to what we saw our decline in the RV business with a little decline in residential and a little increase in commercial somewhat offsetting each other in dollars. With what is going on in the marketplace in especially the RV business, we announced in early September, mid-September, two plant closings, one being a facility in Indiana that was 100% dedicated to recreational vehicle. The other one in Pennsylvania, a one-time [ph] plant that we had the residential furniture that we are going to consolidate that production into other facilities and continue to use a portion of the Lancaster facility for our warehouse and distribution center to allow us to continue to provide good service to our dealers in the northeast and the mid-Atlantic states. We have a substantial part of that cross behind us, but there will be some additional costs certainly in the December quarter and also probably a smaller amount as we move into the first half of 2009. But we believe that with the closing of those two facilities, we’ll more closely align our production capacity with what we anticipate order levels being as we look ahead over the next couple of years. And in addition to that, we’ll take out some fixed costs that will benefit both our gross margin line from a factory perspective and also some relief on the SG&A side as we consolidate some administrative functions. So we think we’re doing and making the right moves at this point in time. It’s probably likely to be a very challenging business moving forward. Certainly being at High Point, North Carolina, the international home furnishings market now for the last couple of days, many of our retailers are finding business to be challenging along with consumer confidence being unstable. In some cases, they’re also beginning to battle consumer credit being available as consumers do come in the door. Hopefully, some of these things will level out as we get through the end of the year, get the elections behind us, and the financial markets stabilized a little bit. The RV business looks like it will be a challenge for a longer period of time going forward. We do believe and are confident in the RV business. We liked the business over the years and we’re going to like it going forward. We’re not real pleased with it right now, but with our relationship with all of the top-end original equipment manufacturers we can continue to be a significant seating supplier to the industry although probably not at the levels that we had seen in the record years that they had in 2005 and 2006. Lastly, in our commercial business, our commercial office business, it remains stable. It’s going to be down slightly. We do not anticipate a significant growth there in the next couple of quarters, but we feel once again very good about our customer base and the product line that we have there. On the hospitality side of the commercial business, we have had very nice and steady backlogs. Although we are starting to see some slowdown of new projects that are being considered and not at all surprising in that one would anticipate with the slowdown in the economy, we’ll hit a period of time where business travel, casual travel will drop off a little bit. And with that, normally, the hospitality industry will either delay or may delay new projects, may defer restoration of existing properties. And with that, the number of opportunities that we’ll have to place product will be somewhat less. So our challenge there will be to gain market share from some of our competitors and allow us to maintain our volume levels that we have been enduring over the last couple of years in that business. So, overall, a challenging environment that we’re working in. We’re certainly not pleased with having to report a loss for the quarter. Although we were pleased from the standpoint that in a very difficult market and in having a couple of our factories that were significantly underutilized, without the facility closing cost, we did have a very modest operating income this quarter and hope to build on that and plan on building on that as we get into the 2009 quarters and then the 2010 fiscal year, which for us will begin next July. So with that, we’ll open the call up for questions, if you have any.
Operator: (Operator instructions) Your first question comes from John Deisher [ph]. Your line is open, sir.
John Deisher: Good morning.
Ron Klosterman: Good morning, John.
John Deisher: A couple of questions. One, on the expected annual pre-tax cost savings of $3.5 million to $4 million from the restructuring, when do you expect to capture those, over which future quarters?
Ron Klosterman: We would anticipate that those will start to come back to us as we get a little bit into the third quarter and into the fourth quarter of the current fiscal year and then, obviously, we’ll have all of those as we move into fiscal year of 2010.
John Deisher: Okay, so your Q3, that would be the March quarter and June quarter?
Ron Klosterman: March and June quarters will start to develop for us.
John Deisher: Okay. Nothing in the current quarter?
Ron Klosterman: Nothing in the current quarter. Both of those facilities are still producing product and running production through the first part of November, and then we’ll have some people still on staff as we move inventories and equipment out of the buildings, etc., so there might be a very small amount but probably not much in the December quarter.
John Deisher: Right. And I think you announced this already, but what’s the headcount reduction going to be as a result of those closures?
Ron Klosterman: I think in total, with active employees at the time that we made the announcement, it was in the area of 250 people total.
John Deisher: 250, okay. And that includes – okay, so that’s the net number?
Ron Klosterman: Yes, that’s –
John Deisher: Okay.
Ron Klosterman: Hourly production associates and supervision, administrative, etc.
John Deisher: Right. Okay, good. I’d like to say another question, as you talk about some of your customers being under stress, I’m wondering are any of your competitors under stress? Do you see any competitors perhaps going out of business either on the RV or the residential side?
Ron Klosterman: A little harder to address on the RV side because most of our, well, almost all of our seating competitors in RV are privately-owned, if you will, sort of family-type business. So other than once in a while speculation or rumors, there’s not too much information as to how they are doing. One would anticipate that if our volume is down this significantly, then many of them are feeling the same thing, but what that means to their financial well-being is hard for us to comment on. On the residential part of the business, we certainly know how some of the public companies are doing and through the industry and the trade, we know how a few of the private companies are doing, and there have been certainly some that are under stress. For instance in the residential business, there was a long-standing competitor of ours, a private company, that filed bankruptcy and went out of business although they’ve recently been restructured and some other individuals are taking over the brand and the operation, so one would anticipate that there could be a few more of those out there.
John Deisher: Interesting. Can you share with us who that private company was?
Ron Klosterman: It was Norwalk, based out of Ohio.
John Deisher: All right. Okay, good. And then you are at the show right now? I guess it’s the start of the show?
Ron Klosterman: Yes, it is.
John Deisher: Are you seeing any kind of enthusiasm or what’s the reception been amongst the buyers from your corner [ph] so far?
Ron Klosterman: Well, I think overall – first of all, we are finding that during the first couple of days, the traffic is about the same as it was a year ago. All of the – at least for us, our – all of our dealers are there [ph] of course, there – certainly our significant larger retailers are here and they’re looking at products. Some of them talk about the slowdown and so they’re probably a little bit more tempered in their enthusiasm to buy product right now but they’re certainly coming to look at new products, to know what’s going to be available to them. With this market here, we really never know the results of how well we've phrased our product until 4 to 6 weeks after market because many of the buyers come and look here but they don’t actually order here. That happens when we go back to the field and meet with them at their individual locations.
John Deisher: Okay, so you’ll have a better feel in 4 to 6 weeks? Is that correct?
Ron Klosterman: Yes, that’s correct.
John Deisher: All right. Okay, thank you.
Ron Klosterman: All right, John.
Operator: (Operator instructions) There are no more questions in queue at this time sir.
Ron Klosterman: All right, thank you. Well, we thank all of you for joining us this morning. Once again, we look forward to speaking with you again at the end of the next quarter. Hopefully, we’ll see a stabilization in some of the businesses, especially the RV business, and look forward to some upturn as we move past the end of the calendar year and into 2009. So, thank you for your commitment to Flexsteel and we’ll talk to you again.
Operator: This concludes today’s conference call. You may now disconnect.